Operator: Good day, ladies and gentlemen, and welcome to the Maiden Holdings Limited Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the call over to Noah Fields. You may begin.
Noah Fields: Good morning, and thank you for joining us today for Maiden's third quarter 2015 earnings conference call. Presenting on the call today, we have Art Raschbaum, Maiden's Chief Executive Officer, along with Karen Schmitt, our Chief Financial Officer. Also in attendance today is, Pat Haveron, President of Maiden Reinsurance Limited. Before we begin, I would like to note that the information presented here today contains projections or other forward-looking statements regarding future events or the future financial performance of the Company. These statements are based on current expectations and future events and are subject to a number of risks and uncertainties that could cause actual results to differ materially from these expectations. We refer you to the documents the Company files from time-to-time with the Securities and Exchange Commission, specifically the Company's Annual Report on Form 10-K, and our quarterly reports on Form 10-Q. Some of our discussions about the Company's performance today will include reference to both non-GAAP financial measures and information that reconciles those measures to GAAP, as well as certain operating metrics and may be found in our filings with the SEC and in our news release located on Maiden's Investor Relations website. Please also note, that unless otherwise stated, all references to common share data in today's discussion are on a diluted-share basis and comparative comments will refer to Maiden's results in the third quarter of 2015 relative to the corresponding period in 2014. Finally, certain reclassifications have been made for 2014 to conform to the 2015 presentation and have no impact on net income and total equity previously reported. I will now turn the call over to Art.
Art Raschbaum: Good morning. Maiden continues to generate solid operating earnings and double-digit operating returns despite a continued challenging environment. During the third quarter and the first nine months of 2015, Maiden has reported operating return on common equity of 11.3% and 11.8%, respectively. Importantly, we continue to enjoy growth in invested assets and strong year-on-year growth in investment income. While comparative year-on-year earnings and underwriting results have been impacted by adverse commercial auto experience in the Diversified portfolio, we are confident that we are effectively responding to these issues and are well positioned to continue to profitably expand this segment. We remain committed to offering our clients highly differentiated customized products and a focus on exceptional service, our strong long-term relationships and customer-centric approach remains significant competitive advantages. For the first nine months of the year, gross premiums written were up 12% to $2.1 billion, with AmTrust increasing 28%, while the Diversified Reinsurance segment fell 13%. In the US, premiums from the Diversified segment were down, as we continue to feel the impact of the loss of one life client earlier in the year, as well as the impact of underwriting actions resulting in non-renewal of several underperforming accounts. As we have consistently communicated, we remain focused on maintaining underwriting discipline. Despite these challenges, we continue to believe that we are well positioned to expand our US business. We have added a number of new accounts this year, grown existing client portfolios and are actively working with a number of prospects which should enable us over time to offset the impact of underwriting actions and the loss of our large client relationship. Our focus continues to be on expanding our highest margin segments and on developing long-term capital solutions for regional insurers. We believe that demand for capital support in our target market is growing and on our unique highly-differentiated international insurance services business, which is focused on developing branded consumer insurance products for auto manufacturers and retailers, primarily in Europe; we continue to feel the negative influence of foreign exchange on premium volume due to the impact of a strong dollar on primarily euro-denominated revenues. Notwithstanding the influence of foreign currency, we expect this segment to grow in 2016 and beyond, as new OEM clients come online and as we begin to implement our payment-protection insurance joint venture with Allianz, which was announced in September. In our newest business activity, which is focused on providing capital solutions to companies in Europe in a post-Solvency II environment, we've made solid progress in expanding awareness and have developed a significant growing list of prospects. We are currently actively entertaining a number of submissions. In our AmTrust segment, while growth has moderated as compared to the third quarter of 2014, we continue to enjoy strong organic growth. You may recall that in the third quarter of 2014, we began to see the full impact of the Tower acquisition. The year-to-date combined ratio for the first nine months is 99.1%, compared to 97.8% in 2014. The main driver of the higher combined ratio is continued adverse development in our US commercial auto excess of loss business. Given an elevated level of loss activity experienced over the last several quarters, and as we mentioned during the last earnings call in August, we've now completed a review of our US excess commercial auto reinsurance portfolio. As a result of that review, we further strengthened reserves in the third quarter to recognize what we believe to be increased loss cost in the 2011, 2012 and 2013 underwriting years. It's important to note that much of the loss development in this quarter stems from our own analysis of our clients’ open claims and in many cases we've posted additional case reserves. From discussions with clients, and observing the commentary of others in the market, the issues we are seeing in our excess of loss commercial auto portfolio do not seem to be unique to Maiden, but we're taking the steps that we believe are necessary to mitigate a longer-term impact. As we've mentioned in the past, by responding quickly to adverse development, we can also ensure that our forward pricing reflects a realistic picture of loss cost. While we've responded with revised renewal terms and conditions, in several cases, we either non-renewed or have been unable to come to acceptable terms on some accounts. Investment income has been a solid and growing contributor to earnings and for the first nine months of 2015, net investment income has totaled $96 million, that's an increase of 13% from the same period last year. While interest rates continue to be low, we've remained true to our lower volatility strategy and have not reached for yield as sought greater returns through equities or other alternative investment strategies. We very methodically grown invested assets and we've been thoughtful about when to best deploy cash. The continued growth in invested assets is a clear driver of growing earnings power. Despite a challenging operating environment, Maiden results this year clearly demonstrates the strength of our lower volatility, highly efficient business model and strong balance sheet. Invested assets continue to grow and drive improving net investment income, while we work to improve underwriting results, which should further benefit operating returns and earnings over time. Notwithstanding our higher combined ratio, we remain confident in our ability to increase our operating returns. I'd like to now turn the call over to our Chief Financial Officer, Karen Schmitt, to review the third quarter results in greater detail. Karen?
Karen Schmitt: Thank you, Art, and good morning. As Noah said earlier, unless otherwise stated, all references to common share data are on a diluted share basis and comparative comments will refer to Maiden's result in the third quarter of 2015 relative to the corresponding period in 2014. Maiden reported third quarter 2015 net operating earnings of $26 million or $0.34 per diluted common share, compared with $29 million or $0.38 per diluted common share. Net income attributable to common shareholders was $23 million or $0.30 per diluted common share, compared with $28 million or $0.36 per diluted common share. Gross premiums written in the third quarter of 2015 increased 1% to $629 million. Net premiums written totaled $599 million in the third quarter of 2015, a decrease of 1%. The net premium decrease is caused by the corporate retrocessional program introduced at the beginning of this year that was not in the comparative period in 2014. The Diversified Reinsurance segment's net premiums written were down 25% to $164 million. As in the previous quarter, the US premium volume in the Diversified segment continues to be impacted by the loss of a single large customer that was acquired earlier this year. In addition, the third quarter was impacted by the non-renewal of some accounts in the commercial auto liability portfolio, as well as premiums ceded to corporate retrocessions. However, we've seen a moderate growth of in-force premiums during the third quarter, which is an early indicator of strengthening production volume. International premium volumes were negatively impacted by the continued strength of the US dollar, causing relative decreases after foreign exchange conversions. In the AmTrust Reinsurance segment, net premiums written increased by 13% to $435 million, reflecting AmTrust's integration of business from the Tower Group acquisition, and steady organic growth. Net premiums earned of $659 million increased 11%. In the Diversified Reinsurance segment net premiums earned decreased 17% to $193 million. The AmTrust reinsurance segment's earned premiums were up 30% to $465 million. The combined ratio totaled 99.6% in the third quarter of 2015, compared with 97.8%. The Diversified Reinsurance combined ratio was 104% in the third quarter of 2015, up from 98.5%. As Art mentioned, during the third quarter, we completed the comprehensive review of all accounts with significant commercial auto exposures that was begun in the second quarter. The results of that review led us to recognize additional adverse development in the US excess of loss commercial auto business, although this development was almost half of the impact recognized last quarter. The combined ratio was also challenged in the quarter by weather losses, specifically from tornadoes reported earlier in the third quarter that exceeded our quarterly CAT load by $4 million. Despite the higher than anticipated impact from weather-related losses, we are within our total CAT load for the first three quarters. The normalized combined ratio for the Diversified segment, excluding the prior year development and above normal weather-related losses would have been 97.2% for the quarter. The AmTrust Reinsurance segment reported a combined ratio of 95.5% in the third quarter of 2015, compared to 95.6% in the third quarter of 2014. In addition, the group combined ratio in the third quarter of 2015 was impacted by 0.6 points of non-operating losses, mainly stemming from the adverse run-off of the NGHC quota share. The loss ratio for the quarter was 67.2%, the same as last year. The commission and other acquisition expense ratio was 29.9%, two points higher than the 27.9% in the prior year. The higher commission ratio is due to the larger proportion of quota share business in Q3 of 2015 versus the same quarter last year. Also the commission ratio for AmTrust is one point higher, due to the smaller proportion coming from the hospital liability contract, which has lower acquisition expenses. The G&A ratio for the quarter was 2.5% compared to 2.7%. In the third quarter, net investment income was $33 million, an increase of 11%. The average yield on the fixed income portfolio, excluding cash is 3.44%, up slightly from 3.40% at the end of the second quarter. The new money yield on fixed maturities in the third quarter was 3.76% with an average duration of 6.63 years. Including cash, the average duration is 4.6 years versus an average duration of liabilities of 4.4 years. The total investments increased to $3.9 billion, compared to $3.5 billion at year-end 2014. Operating cash flow was $148 million during the quarter and $525 million year-to-date. Cash and cash equivalents were $433 million as of September 30, as compared to $309 million at the end of the prior quarter. During the third quarter, we actively invested $219 million in high-grade, high-quality investment-grade bonds. As we continue to generate strong cash flow and grow invested assets, our investment earnings run rate should continue to increase. Total assets increased 11.5% to $5.8 billion at September 30, compared to $5.2 billion at year-end. Book value per common share was $12.28 at September 30 or 3% lower than December 31. Total capital resources remains strong at $1.58 billion. I am also pleased to say that the Board of Directors increased our quarterly common share dividend by 8% to $0.14 per common share. The dividend increase reflects the continued confidence in our business model and expected future performance. This is the eighth consecutive year that the Board has raised the quarterly common share dividend. I will now turn the call over to Art for some additional comments.
Art Raschbaum: Thank you, Karen. I would now like to provide you with an update of market conditions and some closing thoughts. In general, the reinsurance market remains highly competitive, while M&A continues to make headlines in the sector, we don't see the competitive landscape in our markets significantly changing. A benign CAT environment and considerable increase in alternative capital flow to the industry have continued to pressure the property CAT reinsurance space and it has caused some re-insurers to increase their efforts in the higher-frequency, lower-severity segments where we focus. Outside of the US, Solvency II in Europe and in other markets seeking equivalency with the European standard have created some new demand for capital as the new risk-based capital rules are implemented beginning in January of 2016. We do anticipate a steady growth in demand in Europe following the implementation in January. Despite the challenges of the market, as a disciplined re-insurer, we always compete with a focus on delivering differentiated value to our clients with customized solutions. We continue to refine our underwriting portfolio and develop new business opportunities in the US and internationally. In a highly competitive environment, we remain focused on strengthening underwriting performance by re-underwriting or non-renewing poor performing accounts, while carefully expanding our underwriting portfolio in our target markets. We're pleased with the deal flow we are seeing, and we expect to continue to expand existing client relationships. In Europe, as I mentioned earlier, we are further expanding OEM relationships through our marketing efforts and with our partnership with Allianz. We had a very productive fall conference season in Europe, where we continue to increase our profile and are currently holding active discussions around Solvency II related capital solutions with brokers and potential clients. We are entertaining a number of January 1 opportunities in many European jurisdictions. And separately, at the beginning of October, our three year quota share with AmTrust automatically renewed through June 30th of 2019. We are very pleased to continue our longstanding relationship with this important client and of course, we continue to benefit from their ongoing profitable growth. In today's competitive market, we clearly recognize that there are many formidable and capable re-insurers operating in the market. As a result, our competitive strategy focuses on developing highly differentiated and client-responsive capital solutions, while effectively leveraging our competitive strengths. We're committed to continue enhancing the value of Maiden to its shareholders and in support of that objective, as Karen mentioned, the Board authorized an increase in Maiden's quarterly dividend. We're confident in our ability to further strengthen our earnings and returns, while carefully expanding our underwriting portfolio. This concludes our prepared remarks. Operator, could you please open the lines for Q&A?
Operator: [Operator Instructions] Our first question comes from Randy Binner of FBR. Your line is open. 
Alex Combs: Hi, guys. Good morning. This is actually Alex Combs on for Randy. First, I was wondering if you could give us some detail on the $3.8 million E&S and NGHC run-off business, as this seem to drive the majority of the beat in our model. How should we think about this business going forward? The line item seems to bounce around a lot.
Art Raschbaum: I think, in the NGHC relationship we are getting kind of in the tail, and so we will see some volatility. But remember, that was almost $1 billion of ceded revenue over its life. So, on a relative basis, it’s a pretty small movement. But obviously we react when we see kind of changes in development. As we said before, we still generated margins in that segment, maybe not as high as we had expected, but we feel like we've got a reasonable handle on the run-off.
Alex Combs: Okay, great. Then, if I could go to commercial auto, obviously this has been a challenge for the past three or four quarters now. Can you provide some color on the review that you did in the third quarter and what the – what your takes were on that? And, should we consider more commercial charges going forward?
Art Raschbaum: A good question. Thank you. Well, first of all, as we kind of alluded to in the last quarter, the approach we took was really to physically audit every client that had commercial auto exposure in our contract. And that included on-site visits from our claims professionals. They sort of sampled the files of known cases that had already been reported to us, but in addition to that, they sampled the universe of claims that are – that were under our attachment point to see whether there was any possibility that the values on those claims might accelerate over time. So, it’s a pretty comprehensive review. In addition to that, where we saw instances where claims in the opinion and estimation of our claim examiners were comparatively lower than we think they should be. We stepped it up and we posted additional case reserves on our own results. And we gave feedback to our clients, but importantly, we made sure that our balance sheet reflected what we believe would be the ultimate settlement of those claims. And so, pretty comprehensive process. That took us to the point where we - Karen indicated, strengthened our reserves. But I guess, the positive is that, versus was we saw in the first quarter, we were about half of the amount of additional development in the second - and looking at sort of 2011 through 2013, we feel pretty comfortable that we've taken a comprehensive look at those segments. You can never be absolutely certain when you are talking about future claim development. But we think our review is as comprehensive as what was possible on our side and we feel pretty good about our position. And the question is, is 2014 and 2015, will we see similar effects there? We did see a little bit of impact from 2014, but importantly, our exposure base is actually lower in 2014 than it was in previous years. Karen, would you like to?
Karen Schmitt: Yes, and just to put some color around it, our first quarter reserve review, which was the basis for our booking in the second quarter was about $19 million for commercial auto and we had some offsets with some other lines of business. So our total adverse development was lower, but $19.1 million, I think, was the number for the Q1 reserve review booked in Q2. So then our Q2 reserve review, which we've booked this quarter, commercial, auto was about $10.4 million. So, much less. Really focused on those three underwriting years, 2011 through 2013, really with 2011 and 2013 having most of the impacts. We did also look at 2014 and there is a little bit of impact there, but as Art said, our exposure is down. On an underwriting year basis, 2014 is down 29% from 2013 on the treaty book, which is where we are having most of the problems. For FAC, we have had some adverse development, but those combined ratios are still very favorable. In that segment, our premiums for facultative certificates were down about 7% 2013 versus 2014. So we are obviously looking very closely at 2014 and 2015 to make sure that we are getting initial booking right and we will continue to be very diligent in looking at those segments.
Alex Combs: Okay, great. Thanks. That's very helpful. And then is this - are you seeing frequency and severity? I know, in the past, it's been a severity issue, but are you seeing frequency pop up as well?
Karen Schmitt: Well, I mean, it's excess of loss business. So, it's - sort of by definition, it has to be severity, but we are seeing, I guess, we were calling it frequency of severity that we have more claims than we anticipated and they're settling for higher values.
Alex Combs: Okay, thank you.
Karen Schmitt: You are welcome.
Operator: Our next question comes from Ken Billingsley of Compass Point. Your line is open.
Karen Schmitt: Hi, Ken.
Ken Billingsley: Hi, good morning. First off and I apologize if you did comment on this. When you talked about expanding the three year quota share agreement, when did that go into effect?
Karen Schmitt: Well, it automatically renews effective October 1.
Ken Billingsley: It was October 1, it automatically renews October 1. Any changes on the ceding commission, sliding scale or any other structure?
Karen Schmitt: No, there have been no changes and I sort of said it - the automatic renewal date is October 1, but it's a July 1, 2016 effective date. So, it will automatically renew for three years from that point. But no, at this point, there have been no changes.
Ken Billingsley: No changes, okay. When you say - at this point, I am just curious, does that mean that there is opportunity for negotiations?
Art Raschbaum: Well, as you know Ken, we work together with our client closely and from time-to-time we have made revisions. At this point, we have nothing that we have negotiated or would comment on. But we are always looking at ways that we can ensure that the contract is responsive and at the same time, that we are appropriately managing the associated risk.
Ken Billingsley: Sure and I believe the last time this renewed, am I correct that you guys actually were able to lower the ceding commissions slightly on certain pieces of business you were receiving?
Art Raschbaum: It was actually - what happened was that some of the - so we pay a flat ceding commission across the portfolio for the majority of the business and it's a reflection of the average sort of operating and acquisition cost. There are components within the AmTrust portfolio that may have lower expenses, higher loss ratios and vice-versa. If the component of higher loss ratio, lower expense ratio grows, it does affect our combined, and we were very fortunate to - and we were very appreciative of AmTrust's ability to work with us and come up with an adjusting feature. So that if those kind of lower loss –to be expense ratio, higher-loss ratio components became a bigger part of the portfolio, it would automatically adjust. We terminated that feature probably a couple of years ago, when clearly, the Worker's Comp business was outstripping the growth of every other segment. So we really didn't even have this imbalance, but it always gives us comfort that they are always willing to talk with us if we have any issues and I think they are interested in us developing value from the relationship as we are in making sure the relationship adds value to them.
Ken Billingsley: Okay. The - so - and on AmTrust, I'd like to get just your color, maybe behind the scenes, on - I understand you guys set your own loss picks through the AmTrust quota share segment, versus what AmTrust does on their books and you don't necessarily get all the pieces. But, can you talk about some of maybe the internal mechanics and moving parts? I mean, they booked, I believe is 67.9% total for the quarter. Your segment was a 63.9%. Can you talk about - what might be driving some of that difference?
Karen Schmitt: Well, I mean, I think they said on their call that they made some changes to some European business, some of which we are on, some of which we are not on. They mentioned hospital liability in particular and that line has a wide range of results. It's on a claims made basis, but we have very few paid losses at this time and claims take a long time to resolve. So, that one has a pretty wide range of reasonable outcomes on it and they indicated, it sounded to me and of course they don't discuss this with us, but it sounded to me like they indicated they were moving higher in the range on that business. And, we have also been moving a little bit on that one as well. But, as you rightly pointed out, we don't participate in everything that they do. They have some property business in the Lloyd's syndicate that we don't participate in and it's really hard to - because we are not comparing necessarily segment-for-segment. It's pretty tough to see their quarter-on-quarter loss ratios, compared to ours. What we do look at is on an [Audio Gap] business is performing and understanding that it's getting harder to do that with some of the segments that we are not currently participating in, but as we've continued to look at that, we are very close on an inception to-date basis for their net loss ratio versus our AmTrust loss ratio.
Art Raschbaum: The other thing I would say, Ken, is, keep in mind that when AmTrust makes acquisitions, we typically do not take the in-force. And that includes the Tower, you may remember that they took on, kind of the unearned they fronted for a period of time. And they've made - obviously not of that scale, but other acquisitions over that period of time. In the case of Tower, that business was higher loss ratio, lower expense ratio and it obviously didn't get ceded to us. But that certainly creates a disconnect between our results and theirs.
Ken Billingsley: On the European Med, you do participate on that though, is that correct?
Art Raschbaum: That is correct, the hospital liability, yes.
Ken Billingsley: Hospital liability, okay. The - when does the net premium written impacts on the diversified re-segment from the loss of that large customer? When does - would you expect that impact to end on a quarterly basis? Is it this year, early next year?
Karen Schmitt: First quarter of next year.
Ken Billingsley: First quarter. So it's still going to - we need to be making that adjustment?
Art Raschbaum: I would say that the part that's uncertain is, obviously, to the extent we write any new business before the end of the year that could affect it, that could offset it. But yes, I think that's a fair point. We do see though, as Karen said earlier, that on our in-force trend, the trend is upward. So, we may not have as big a drop over the next quarter, assuming that in-force trend continues. And that really reflects the fact that we are writing new accounts. The effect they have on our overall business is – it kind of builds, if you will.
Ken Billingsley: And I forgot to ask this question. So on the European hospital liability, did you book any increase for this quarter?
Karen Schmitt: We did book a higher - we did use a higher booking rate for this quarter for hospital liability. 
Ken Billingsley: Okay.
Karen Schmitt: But it's, you don't see it in the numbers so much, because the volume really is down. So that, the Worker's Comp premiums and some of the other premiums are just so much higher. So you are not really seeing the impact of that. But yes, we've been moving a little higher in the range on that business.
Ken Billingsley: Okay. And then, last question I have, before I turn it back over, I believe Karen, you had said that the normalized combined ratio for the Diversified Re-segment would have been 97.2 and so I did a quick math and it makes it look like that's about $13 million of adverse development in the quarter. And then, I believe you said that commercial auto was $10 million this quarter. So, can you maybe talk about what - one, is the $13 million number right and then what the other $3 million is?
Karen Schmitt: On the Diversified adverse development is $10.3 million. The other difference is the CAT impact. So, when I said the 97.2, that would have taken out $4 million of CAT losses, because as we said, we were $4 million over our normalized CAT load for Q3. On a year-to-date basis, we are right there. We were under the CAT load for Q1, Q2 and then for Q3 we are over it. So I was just trying to normalize if you put us right at our CAT load for the quarter and without the prior year development that would be the 97.2.
Art Raschbaum: And I just add to Karen's point. I know we've said this many times, but we are not a CAT writer, where we develop exposure is, when our property excess accounts, either individually or in aggregation are involved in the same event. But we very aggressively manage those exposures down to what – to limit the occurrence effect on those.
Ken Billingsley: Okay, I appreciate you taking my questions this quarter. Thank you.
Art Raschbaum: Thank you. 
Karen Schmitt: Thank you. 
Operator: Our next question comes from Matt Carletti of JMP Securities. Your line is open.
Art Raschbaum: Good morning, Matt. 
Matt Carletti: Okay, thanks, good morning. I just had two questions. The first one is on the top-line in Diversified. I know there were a – that the handful of kind of headwinds in the quarter and I was wondering if you could either quantify or if you can't put a direct number on it, just kind of rank order or ballpark, kind of – of the headwinds on premium, how much was from that large client? How much would be from, kind of the re-underwriting actions going on in commercial auto and how much might be from FX headwinds?
Karen Schmitt: Okay. Well, so starting with the US. US was down 20% prior to the retro. So, part of it, on a year-to-date basis, they are down less than 5% prior to the retro. So, what - we do have a pretty big impact from that large account, but, the team has offset the vast majority of it through three months. But it's been lumpy throughout the year. 
Matt Carletti: Okay.
Karen Schmitt: Excluding the impact of the large customer, we would be up on a year-to-date basis and importantly, in-force premiums at 10/1 are up versus 7/1. So that really tells us that, we are going to start to recover some of that lost premium in the fourth quarter. It may still be down for the quarter, but, it certainly should not be down as far as we were this quarter. And really focusing on those high margin things, the facultative certificates, the umbrella, some other things that the US is doing. So that's part of it. IIS, our International Insurance Services was down 24%. But, it would have been 9% after adjusting for foreign exchange. So, more than half of the decline in that business was due to foreign exchange, because we had obviously a much stronger dollar this quarter versus last year.
Matt Carletti: Okay, that's pretty helpful. And then in terms of the large client, I know you said it's lumpy, I mean is there any way to - is it just kind of it comes as it comes? Or is there any way to kind of - is it a third quarter for some – within a heavier quarter or I guess, I am just trying to get an idea, is it kind of even across, we expect an even impact, is there tailing down in Q1, are we passed the worst of it or how we should think about that?
Karen Schmitt: Yes, I mean, it's not the large client, so much being lumpy. It's the new premiums coming in and some of the changes with the existing customers that are coming in. The large client was a quota share. So that tends to come in pretty uniformly and so we have one more quarter of that. But it's how the new premiums are coming in, if it's an excess of loss account is booked for the most part, that's going to be booked upfront. If it's a quota share, it's going to be booked throughout the year. So, that's what really causes the lumpiness more so than that one customer.
Matt Carletti: That makes sense.
Art Raschbaum: Yes, said another way Matt, if you think about – so, we had offsets to the account in the trendy, and non-renewals which - but if you forget those offsets, it's probably about 60% of it came from, in the quarter, came from the account that wasn't renewed - the company that was sold. And the balance of it was mostly driven by underwriting actions following the valuation of loss cost on the commercial auto side. So, a lot of that is a reaction to the loss cost and the effect on pricing as we renew those accounts and then, to a lesser extent as Karen mentioned, the European currency effect.
Matt Carletti: Okay, that's helpful. And then, just one other question, kind of a high-level question on the, kind of the European opportunities that you discussed. I mean, how do you feel this quarter versus last quarter? Do you feel better, worse, the same about kind of how the picture looks going forward on that end? And in terms of timing should we expect maybe some of that in Q4 or do you just really think it's more of a 2016 event?
Art Raschbaum: I mean, we've kind of been - kind of positioning, as much more of a 2016 event. We said we might get a little bit of activity in this quarter. But, in terms of our relative comfort with it, I would say, let's look at the two pieces. There is the auto OEM segment, where we have our partnership with Allianz. We feel very confident, I think we have online the first of those opportunities that should take hold in the first quarter. Now, that will ramp up. It won't be automatically, all the premium we generate won't be posted day one. But, once that begins, it will be a function of the car sales activity of that OEM and how much of that is financed and how much of it - the company provides credit line for or PPI for. So, we feel good about that. I think very bullish, first life when coming on board and we also are bullish about the continuing stream of additional OEMs that will be added, as well as jurisdictions. Secondly, there is the - and we've been - I think, cautious about our view with respect to our initiative to provide capital solutions, sort of post-Solvency II environment. We had really great reception at Monte Carlo at Baden Baden. We also participated in Spain at a special round table that was focused on, kind of, capital solutions in a post-Solvency II world, what gets capital credit, what doesn't and throughout those, we've just gotten very positive reaction. So, as the days pass, we seem to see an increase in the amount of submission activity we're getting. And some of them are pure reinsurance, but a lot of them are a blend of subordinated debt and reinsurance, so which is exactly where we targeted. So, the question still remains, will our terms and conditions be competitive or will our solutions will be the right solutions. But we are very gratified and I would say, exceeding our expectations in terms of the amount of deal flow we are seeing.
Matt Carletti: All right. Sounds great. I really appreciate the answers. Thanks.
Art Raschbaum: Our pleasure. Thank you.
Operator: There are no further questions. I like to turn the call back over to management for any closing remarks.
Noah Fields: Well, thank you very much everyone for joining us today. We know it's a busy day for calls and we look forward to speaking with you in the future. Have a great day.